Operator: Welcome, ladies and gentlemen, to the Bird Construction Second Quarter 2023 Results Conference Call and Webcast. We will begin with Teri McKibbon, President and Chief Executive Officer’s presentation, which will be followed by a question-and-answer session. [Operator Instructions] As a reminder, all participants are in listen-only mode and the webcast is being recorded. [Operator Instructions] Before commencing with the conference call, the company reminds those present that certain statements, which are made express management’s expectations or estimates of the future performance and thereby constitute forward-looking information. Forward-looking information is necessarily based on a number of estimates and assumptions that, while considered reasonable by management, are inherently subject to significant business, economic, and competitive uncertainties and contingencies. Management’s formal comments and responses to any questions you might ask may include forward-looking information. Therefore, the company cautions today’s participants that such forward-looking information involve known and unknown risks, uncertainties, and other factors that may cause the actual financial results, performance, or achievements of the company to be materially different from the company’s estimated future results, performance or achievements expressed or implied by the forward-looking information. Forward-looking information does not guarantee future performance. The company expressly disclaims any intentions or obligations to update or revise any forward-looking information, whether as a result of new information, events, or otherwise. In addition, our presentation today includes references to a number of financial measures, which do not have standardized meaning under IFRS and maybe comparable with similar measures presented by other companies and are therefore considered non-GAAP measures. I would like to turn the call over to Teri McKibbon, President and CEO of Bird Construction.
Terrance McKibbon: Thank you, operator. Good morning, everyone, and welcome to our second quarter 2023 conference call. Joining me today is Wayne Gingrich, Chief Financial Officer. Bird's strong second quarter results reflect the work of our teams across the country, with safety, delivering our projects and advancing our strategic plan and operational objectives. We have worked hard for the past few years to establish ourselves as a leading collaborative contractor with significant self-perform capabilities. Our teams have built a well-balanced backlog of contracts, strategically minimizing risk while diversifying into higher margin sectors. Today, our growing backlog comprising a diverse range of industrial, institutional and infrastructure projects brings higher embedded margin profiles. These efforts position us for sustained revenue growth and enhance margins supporting our future performance expectations. Turning to our second quarter highlights. We delivered 19% revenue growth, 95% of which was organic leading to an impressive quarter for revenue of $686 million. Adjusted earnings and adjusted EPS were up significantly quarter-over-quarter and our EBITDA also grew 37% compared to last year. Reflecting Bird's comprehensive services and robust market demand, Bird added almost $1 billion in securements to its backlog during the quarter, bringing our primarily collaborative combined backlog to record levels. Backlog grew to $3 billion. Pending Backlog totaled $3.1 billion, including almost $1.1 billion of Master Service Agreements and recurring revenue work to be performed over the next three to seven years. Company remains disciplined in its project selection and focused on low to medium risk projects. This is reflected in our well-diversified combined backlog and quarterly revenue with approximately 90% of revenue coming from lower risk contract types. Our bidding pipeline remains robust and their significant demand for Bird's strong project delivery and collaborate (ph) style, including a nuclear, agri-food processing, water and wastewater treatment, industrial maintenance and repair, light industrial, telecom, transportation, healthcare, and the educational sectors. Bird’s key fundamentals outlined on Slide 7 remained at the forefront of our efforts to drive forward our business. We remain confident in our full year outlook for improved earnings primarily due to the visibility of our growing combined backlog. Following the significant growth delivered in the second quarter, we have revised our expectations for full year revenue and now anticipate low double-digit organic growth plus additions from Trinity, representing about 1% of revenue growth. Our strategic positioning in higher margin and high demand sectors combined with disciplined projects select – selection, support our positive outlook. We remain very selective when considering a project type and the appropriate contracting model. Aligned with our strategic plan, we have shifted our historical non-institutional building business into the light industrial sector and our results at the end of the second quarter are beginning to reflect that shift. Maintaining a healthy balance sheet with a low net debt position we are well equipped to pursue our strategic priorities including additional tuck in acquisitions where there is good operational and a cultural fit. Our operating cash flows are strong, funding our growth and supporting strategic investments in productivity, capital expenditures and M&A. As we've done in the past, adding to our self-perform capabilities through tuck in acquisitions is an essential piece of our strategy. We have taken existing self-perform capabilities at Bird, and newly acquired self-perform capabilities and diversified into new markets leveraging cross-selling and our One Bird approach. Bird’s contributions to the energy transition and to lower carbon solutions remain evident throughout our recent awards and hydroelectric facilities and the delivery of innovative sustainable post-secondary and healthcare facilities. Our growing portfolio includes work on wind energy projects, hydroelectric related projects, waste to heat projects, sustainable institutional facilities coast-to-coast, and work with all of Ontario's active nuclear operators. We're also actively pursuing our ESG initiatives diligently preparing for upcoming reporting requirements. As noted, the company recorded a combined backlog of risk balance contracts and awards consisting of $3 billion in Backlog and $3.1 billion in Pending Backlog, at the end of the quarter. As you can see in the chart, our combined Backlog is almost tripled since 2020 through a combination of diversification, both organic and acquisitive. We've also improved our trailing 12 month EBITDA, EBITDA margin profile, and adjusted earnings similarly over that time. Bird’s firmly established itself as a collaborative contractor and the combined Backlog maintains over 70% of contracts being executed through a collaborative delivery model. At quarter end, Bird’s recurring revenue, MSAs and Pending Backlog exceeded $1.1 billion, providing additional visibility to future revenues. In the quarter and subsequent to quarter end, Bird had several significant project announcements across a range of end markets. I'm pleased to see Bird's track record and reputation as a key partner for Canada's most significant industrial projects reflected in these recent announcements. The company is delivering its self-performed capabilities as an early contractor of the Jensen Potash project, the Blackwater Gold Mine and Bloom Lake Mine and final works on a large industrial project in Northwestern BC. By offering full project life cycle capabilities and maintaining strong client relationships, we are well positioned to meet the long-term demand of large-scale industrial projects. We continue to execute our strategy in key focus areas, such as fostering increased self-perform work, expanding cross-selling opportunities through M&A and internal partnerships and maintaining disciplined project selection. These contributed to our growth, enhanced fundamentals and the securements of almost $1 billion in the quarter. We're focused on meeting our clients' sustainable infrastructure needs. There's a tremendous outlook for investment in electrification, public transportation, energy efficiency projects and building retrofits. Our capabilities, particularly our self-perform expertise in earthworks, concrete, fabrication, process mechanical, electrical and instrumentation are transferable and strategically positioned to deliver the necessary skills required for the energy transition and the electrification of our energy systems. Clients in the institutional world are increasingly seeking ways to build better, achieve more sustainable billings or retrofit existing properties to reduce their cover footprint. Bird's experienced teams, sustainable solutions and our center for building performance support the execution of clients' goals in these areas. With that, I'll turn it over to Wayne to go through our financial performance in more detail.
Wayne Gingrich: Thank you, Terry. Turning to Slide 11. Construction revenue for the second quarter of $686.4 million represented a 19% increase compared to the same period in 2022. On a year-to-date basis, revenues of $1.22 billion for the first half of 2023 represented a 17% increase from 2022. The company's margin profile improved in the quarter compared to the prior year, with gross profit percentage increasing to 7.9% and adjusted EBITDA margin increasing to 4.3% from 7.5% and 3.7%, respectively. This increase was primarily driven by the company's highly collaborative work program, growing backlog with enhanced margin profiles and expanded self-perform capabilities. General and administrative expenses were $36.2 million or 5.3% of revenue versus $31 million and 5.4% of revenue in the corresponding period a year ago. I will note that the current year includes $2.4 million in costs related to rationalizing office pace, reflecting the ongoing efforts to improve cost efficiency and gain leverage on overhead. Turning to earnings. Net income and earnings per share were $13.7 million and $0.26, respectively, compared to $14.1 million and $0.26 in 2022. I would highlight here that during the comparable period in 2022, the company received a one-time gain of $7.6 million and another $1.7 million of interest income related to the settlement of historical construction billings and related interest charges for the customer. Adjusted earnings and adjusted earnings per share increased significantly compared to the prior year, reflecting the higher gross profit to $15.7 million and $0.29 compared to $8.5 million and $0.16 in the prior year. Bird maintains a healthy balance sheet with significant financial flexibility and liquidity. We closed the second quarter with $107 million in cash and cash equivalents and an additional $172 million available under our credit facility. This enables us to continuously invest in growth-related working capital, project-driven capital expenditures and potential tuck-in acquisitions to further enhance our service offerings and self-perform capabilities. At the end of the second quarter, our working capital stood at $177 million, ensuring support for the current and future contractual requirements. As of June 30, our current ratio was 1.22 times. Our adjusted net debt to trailing 12-month adjusted EBITDA ratio stood at 0.08 times and our long-term debt-to-equity ratio was 23.4%, demonstrating our commitment to maintaining a healthy and sustainable capital structure. In the second quarter, we maintained our balanced approach to capital allocation. During the second quarter of 2023, we generated positive cash flow from operating activities of $7.1 million, a significant improvement of almost $80 million compared to the $73 million cash used in the second quarter of 2022. Keeping in mind that cash in the comparable period in 2022 was positively impacted by a sizable settlement and collection of historical construction billings and related interest charges. The positive cash flow generation in the second quarter of this year was achieved while growing the business 19% and investing $18.7 million in non-cash working capital. Throughout the recent years of business growth, the dividend payout ratio of net income has consistently declined as the earnings have grown, which has further strengthened the company's financial flexibility and helps to fuel future growth. The company continues to expect significant growth in earnings per share in 2023, sufficient to achieve an expected dividend payout ratio of below 40% of net income for the year. I will now turn the call back over to Terry to comment on the outlook for the company.
Terrance McKibbon: We are pleased with the company's performance this quarter. We are confident in our business's strategic shifts over the past few years, including our position as a leading collaborative contractor and the appropriate risk balancing of our work program. Bird's strong quarterly revenue, increasing margins, growing backlog and strong cash generation contributed to the positive outlook for the near to medium term, driven by improving gross profit margins and further leverage on our cost structure, we expect earnings per share and adjusted EBITDA growth to outpace our revenue growth. We raised our growth expectations this quarter compared to Q1, where we previously said high-double digit growth and now expecting low double-digit organic revenue growth for the full year, keeping in mind that training is approximately 1% of additional acquisitive growth. Our markets are fueled by infrastructure investments, the energy transition and the more robust commodities environment. We are confident in delivering expanded margins and revenue growth, reaffirming Bird's commitment to increasing value to our stakeholders. With that, I'll turn it back to the operator for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Jacob Bout from CIBC. Please go ahead.
Rahul Malhotra: Hi. Good morning, Teri and Wayne. This is Rahul on for Jacob.
Terrance McKibbon: Good morning.
Wayne Gingrich: Good morning.
Rahul Malhotra: Good morning. So very strong levels of new awards in the quarter and a couple of big awards after the quarter end too. So just curious what you would attribute this to? Is this France industry-wide or a factor of higher win rates on your side or a combination of both?
Terrance McKibbon: I think it's a combination of both. But you're certainly seeing strong demand across the various sectors that we focus on. We're also seeing a strong demand for the collaborative style of contracting that we've been obviously a leading entity in our sector, delivering that. We're seeing that type of modeling. In order to deliver that type of project you will often mean a very strong resume to be able to be selected for these things, and we're seeing a very big uptake of clients because it's a very efficient way to deliver Canada's infrastructure. So it's a combination of strong markets in the industrial side, on the mining side, in the horizontal infrastructure side and then on the institutional side, again, as we transition our vertical institutional business to light industrial, we're seeing very good performance and growth in agri-food and those types of areas like manufacturing and things like that. So it's a mix of things, but certainly, we have good sight to a very strong pipeline for the future.
Rahul Malhotra: Right. Enough. That’s helpful. And maybe just a question on full year 2023 revenue expectations. First half revenue growth was very impressive at 17%, and you're now guiding for low double-digit organic growth for the full year. So would it be fair that your revised expectations imply a high-single digit growth for the back half of the year? And is there upside to this given all these recent wins and record backlog?
Terrance McKibbon: So a couple of things. I think what you're saying makes sense. So high-single digits in the back half, like in the back half of last year, we had a strong second half. So we're still going to see some nice growth this year, but it won't be at the 16.8% we saw in the first half of this year. Yeah. It's certainly possible that we could have even stronger revenues than high-single digits. It obviously depends on to some of the other factors going on in the country today in terms of where the wildfires are and whether there's any impact to projects. We've had very minimal impact to date, but certainly something we're monitoring going forward.
Rahul Malhotra: And maybe just last question for me on the labor side. So it looks like it's still a pretty tight labor market and just given the increased levels of the work, how are you managing on the labor side? Are you finding enough build workers and maybe just comment on how labor utilization levels are ringing.
Terrance McKibbon: One of the benefits and we spoke to this in the past, but one of the benefits of Bird's national presence is, we can draw from markets Canada-wide and you never have a scenario where you've got full utilization of Canada's labor, but you've got to have local relationships and local businesses to be able to position those local employees to move and take advantage of higher opportunities in other markets. So with our collaborative model and we're using divisions who work jointly on many projects that solves that problem to a certain extent for us, but it's still a very tight labor market and obviously, the demands continue to be strong, but we're very disciplined around projects that we pursue that we're comfortable with our labor strategy or obviously, we'll look to other things that maybe have a different labor weighting. Overall, we continue to have a consistent performance and we don't have a project today in our mix that we're concerned about the labor availability on.
Rahul Malhotra: Very helpful. Thank you. I’ll turn it over.
Operator: The next question comes from Chris Murray from ATB Capital Markets. Please go ahead.
Chris Murray: Thanks, guys. Just maybe turning back to the margin discussion. As we went through COVID and the key statements and stuff like that, I think the margins became a bit muddled, but now that we're on the far side of that, a couple of questions on this. I mean, I guess, first of all, Wayne, you talked about some SG&A costs that you're working on right now and that's part of it, but it's also opportunities for gross margin. So I guess a couple of pieces on this. Where do you think you guys can get gross margin to, based on what you're seeing in terms of demand? Wayne, with the collateral of SG&A that we can settle into that, that drives higher EBITDA levels on a go-forward basis?
Wayne Gingrich: Yeah, certainly. I guess a couple of things there. Chris, yeah, so we think we have certainly upside on our EBITDA margins, and that's going to be a factor of higher gross profits and leverage on our cost structure. So in terms of EBITDA in the second quarter, we delivered 4.3%. I'd say our equipment-related revenues were probably lower in the second quarter than what we'd expect to see in the second half. So we expect to see a nice lift in our margins above that 4.3% in the second half. So when you average it out for the year, I think year-to-date, we're something like 3.7%. We certainly are going to expect to see an uplift from that by the end of the year where you're probably mid to high like 4.6%, 4.7%, 4.8% or even above there. Next year, aspirationally is the last year of the current strategic plan that we have in place. Again, margin expansion has been a big focus for us through this strategic plan. So I think you'll see further improvement through 2024.
Chris Murray: So is this like a type of thing that looking at where you've got to come into the backlog that you think you guys can pull I mean, if you think you're getting to like kind of high-4s here like holding something about 5% on a regulated basis is kind of an achievable target?
Wayne Gingrich: Yeah, I think that's a fair assessment of what we're seeing right now.
Chris Murray: Okay. Sounds great. And then, Terry, I don't know, if you want to take this. Just part of it is looking at the recurring revenue in backlog and trying to understand what kind of additional growth levers are there in terms of recurring revenue? At $1.1 billion a year, I mean, that's a pretty healthy number. Is there more room for that to grow from where it is today or is that just going to be a pretty steady, eddy type of business that you've got now that you've got Trinity in there because I'm going to guess the Trinity you've got along the telecom to it. But any thoughts around the growth opportunities around recurring revenue would be great.
Terrance McKibbon: Yeah, certainly. And as you know, some of our clients in the energy side are focusing on a smaller contractor footprint in an effort to make their business more efficient and have a stronger overall safety performance that gives us lots of opportunity. As you look across the various entities, the scale with Bird's focus its collaborative reputation we're just seeing a lot of demand there. It's a lumpier because you sign these things, and it's a pretty big mobilization. So it's not a smooth transition from one big assignment to the next, but we're certainly seeing no shortage and we really haven't tapped some of the markets that exist outside of Alberta to a larger extent, other than as you referenced with Trinity and the work we do for Canada's primarily Canada telecoms. So lots of opportunity, lots of opportunity to continue to grow. I think we're seeing a number of those opportunities in that regard.
Chris Murray: All right. That’s helpful. Thanks, folks. I’ll turn it over.
Operator: The next question comes from Michael Tupholme from TD Securities. Please go ahead.
Michael Tupholme: Thank you. Good morning.
Wayne Gingrich: Good morning, Michael.
Michael Tupholme: Maybe just to start, I just want to go back to the comments you made in response to a couple of Chris' questions there about margins. So just to be clear, I guess, for Wayne, the suggestion of seeing margins kind of in that 4.6%, 4.7%, 4.8% range. That you're talking about the full year 2020 EBITDA margin with the benefit of improvements you expect to see in the second half, getting to on a full year basis?
Wayne Gingrich: Yeah. That's correct.
Michael Tupholme: And as we look out to next year, you suggested you think there's room for some further improvement. Is the improvement that you could see in 2024, is that more likely to be driven by year-over-year improvements in the first half of 2024 and sort of what you'd expect to do in the second half of this year, you can replicate that again next year or do you think there's really room on a year-over-year basis throughout the year as we look out to 2024.
Wayne Gingrich: Probably a bit of both. Like, we're now mobilized on some pretty significant industrial projects across the country. We would expect those work programs to have opportunity to grow now that we're on site, and those are typically self-perform type work packages that carry higher margins, certainly as well. We're seeing nice growth and opportunities for us in the infrastructure event space. We're seeing our institutional business made great strides in terms of the margins and profitability they're driving right now with a combination of some of their traditional markets and also doing work in some of the light industrial sectors as well. So it's pretty broadly held what's driving the margin improvement.
Michael Tupholme: Okay. That’s helpful. And is it possible to talk a little bit about the embedded margins in backlog and what's in backlog now compares to what you would have seen in Backlog sort of 12 months to 18 months ago? Then also just to talk about, as you bid new work now, what are the margins looking like on the new work you're bidding versus what you've been seeing, I guess, up until this point?
Wayne Gingrich: So our Backlog margin, we don't disclose what that is, but we have been making comments in our MD&A about improving margin trends that we are seeing in our backlog. So compared to a year ago, it certainly is higher than what it was. We still see runway for that to improve. The margins in our Pending Backlog, which will eventually obviously convert to Backlog, those margins are higher than what we're carrying in our Backlog as well. So that's what gives us confidence about kind of continued improvement in our margin profile there, too. In terms of the pipeline of work, it's a very active market for us in all of our verticals right now. So that means we can be more selective on what we're pursuing. So we're looking for the right opportunities for us, and they're probably a little bit less competition for some of these complex projects too. So read into that, the going in margins are pretty healthy as well.
Michael Tupholme: Okay. That’s helpful. And then on the revenue growth side of things, obviously, the updated guidance for low double-digit revenue growth for 2023 and you made some comments about the back half of the year. I guess as we look out to next year, given the record level of Backlog/Pending Backlog, can you just speak about sort of how we can potentially think about growth into 2024? I mean the Pending Backlog, in particular, is up very, very significantly. I guess, harder to understand maybe how that gets converted. So just looking for any help on how we think about growth opportunities next year, I guess, given the Backlog plus the demand environment?
Wayne Gingrich: Yeah, certainly. So, if you look at our book Backlog right now, just short of $3 billion, we said that 67% of that will be put into place over the next 12 months. So $2 billion of that $3 billion comes into place already in Pending Backlog kind of have these two categories, right? You've got the MSAs and the $1.1 billion contract terms kind of stand three to seven years. So read into that, the 200, 250 of that may come into place in the next 12 months. Then of the remaining $2 billion in Pending Backlog, we would expect almost all of that to convert to backlog again in the next 12 months. Going into next year, you could kind of get probably $1.5 billion of existing Backlog, you're converting the $2 million you're getting some of the MSAs. We have pretty good visibility to the work program going into next year. So I think in terms of growth, we do our business plan later in the year, but I think we'd be comfortable in the 6%, 7%, 8% growth range for next year. Based on what we're seeing, yes. Yes.
Michael Tupholme: Yeah. No, that's great. Thanks for the sort of buildup to that with the details. I guess just last question would be just on M&A, Trinity was completed earlier in the year. Are you still looking at opportunities? Is that still a core part of the strategy right now? If so, can you provide a bit of details around sort of what it is you'd have interest in and what the environment looks like right now in terms of opportunities?
Terrance McKibbon: Well, certainly, a lot of opportunities in the marketplace right now. We're continuously evaluating. We have a team on this on a full-time basis, looking at things that make sense for us and some are ultimately looking for the right cultural fit and where we can acquire a company that brings a team and aligned with our culture, and we tend to find exclusive opportunities. We don't like typically participating in options where the owner doesn't really care acquires the business. So we tend to be in a narrow band, but there's a number of opportunities out there that fit that profile. So yeah, very active, many opportunities at various stages of evaluation, so but it continues to be a strong area for us, predominantly in the tuck-in side, the larger, more transformative opportunities don't come along very often but we'll obviously adapt to one if it does.
Michael Tupholme: Okay. That’s great. Maybe just one follow-on there, Teri, which sectors or end markets would be of greatest interest to you right now?
Terrance McKibbon: Well, it never lines up perfectly with the area that you're specifically focused on growing but I would say that if you think about what we're building out, we're building out a new infrastructure vertical. So that's an area we're very interested in and looking for opportunities. We've got continue to enhance. We've had tremendous growth in our industrial vertical, especially in Eastern Canada, and now we're getting a lot of momentum in Western Canada. So areas that can enhance that are our focal point. I'd say those would be the two primary areas that we're focused on businesses that can enhance our industrial performance and continue to grow our infrastructure vertical and most importantly, that are accretive to our EBITDA targets.
Michael Tupholme: Okay. That’s all for me. Helpful. Thank you.
Operator: The next question comes from Rala Chen from iA Capital Markets. Please go ahead.
Rala Chen: Good morning. This Rala for Naji. So most of our questions were already answered but we're wondering in terms of like project mix, currently, those are around 90% or lower to medium risk and 10% of higher risk. In the dialogue there is more than 70% collaborative differ model. How does that align with your long-term targets as a whole?
Terrance McKibbon: I would say that that's certainly a reasonable performance right now with the business and the market ebbs and flows and opportunities come and go, but I if there's projects that come along that have a risk profile that we are not comfortable with, we take an off-ramp and don't continue to pursue it or don't even get to first base in the first place. So I think there's a very high trend of this work right now and it's a great model, and I think it will be a model that continues to have legs in the long term because it's the most efficient model that you can use to work very closely with your client and have a high performance delivery. So it's a model that's gained considerable strength in other jurisdictions like Australia and the U.K. and I think continues. I think in that regard, the demand is very high. We don't see that demand softening in the near term, even in the medium term. So I think this mix that we have right now will be a nice balance and we're comfortable with it. The projects that we take on that have higher risk obviously, we refer to them as higher risk, but obviously, we approach those with an appropriate mix of contingency and risk and installation allowances, if those projects enter into our fold. So obviously, we take a very conservative approach if the risk is higher and ultimately, clients, our general clients are trending towards using these collaborate models, and they're having a huge success with them. So it becomes a much more efficient model on what we're cost-effective model to work in these delivery models.
Rala Chen: That's helpful to learn. Just following up on the recent acquisition, how is the integration so far?
Terrance McKibbon: Yeah, it's done really well. We're well underway with some of our system integration right now and launched some of the system things that we would do. We've got a number of variables or safety programs fully integrated in that regard. So it's a business that is complementary to what we do. So it's got some uniqueness with Trinity and working in utilities and communication markets. So it is bolted on to the company quite nicely and the leadership team has fit really well, and Mike [indiscernible] who's our lead in that business who founded the business originally with Zanco is doing a great job. So we're really pleased with it and really, especially with the culture of the way it fits with our organization that's exceeded our expectations.
Rala Chen: Got you. Well, thank you. That’s all my questions. I’ll turn it back.
Wayne Gingrich: Thank you.
Operator: The next question comes from an Ian Gillies from Stifel. Please go ahead.
Ian Gillies: Good morning, everyone.
Terrance McKibbon: Good morning, Gillies.
Ian Gillies: Teri, could you talk a little bit on a risk-adjusted basis, would your preference be to pursue one of these large infrastructure projects that are going in Canada or maybe a larger M&A deal to help augment grow the business significantly. I asked this in the context because the business has obviously been performing quite well and the balance sheet is in very good shape. So the ability to do either looks pretty good right now.
Terrance McKibbon: Yeah. I think within our organization, Ian, it really depends on each. It really doesn't distract us to a large extent, if we were doing a large M&A deal in comparison to a large infrastructure project similar to the more recent [indiscernible] transaction that we did, which was very successful and has worked out really well for us. We have a very small team working on that of about 10 people. So none of which would be involved in a large infrastructure project. So on the infrastructure side, the number of those opportunities are out there. They're all in various stages of evolution and various clients we work for in Canada are working with a lot of different models currently, some with different levels of risk, and we're focused on those that fit our profile. And again, early days on some of the larger ones where we're working on the teams but the good news is, we're seeing more and more of those evolve and we're able to complement those teams quite strongly with our team, and it's exciting because the scale of investment that's going on in both social infrastructure and horizontal infrastructure by the various governments in Canada is unprecedented and we've had good success. We're building over key projects currently, and we fit with success with those in the approach we've taken, which is a collaborative interface with our client who ultimately has a different interface with the owner. We're very pleased with how we're performing on the scopes that we have and we're developing a very strong resume to complement any project in Canada that evolves. So I think a little bit the way we operate we're a little bit divided but we like both if the fit is right and the dynamic is right for us.
Ian Gillies: That’s helpful. I suspect I know the answer to this next question, but the guidance keeps going up, the share price probably isn't following in the way it should, in our opinion, does an NCIB or get any more interesting as the share price levels or is that just a continuing conversation with the board?
Terrance McKibbon: Yeah, it's a continued conversation with the Board. We look at various use of our capital and ultimately, it's a quarterly conversation that we talked about balancing the needs of the business, our forecasted growth, the balance sheet we need for the types of things we're doing, the dividend mix. It's an ongoing evaluation as we move the business forward.
Ian Gillies: Okay. And then last one for me, probably directly at Wayne. I apologize if I missed this earlier, there's been a bit of volatility in the G&A quarter-to-quarter. Can you maybe just help us map out the rest of the year there and where you think that shakes out on a full year basis and so on and so forth?
Wayne Gingrich: Yeah, certainly. In Q2, our G&A was $36.2 million. So that included impairment charges that we have, right? So from an ongoing run rate basis, you can back those charges out, and that gives you a new baseline. The increase from Q1, if you think of it this way, the company has a profit sharing program and we accrue profit sharing in proportion to profits earned, right? So Q2 had higher earnings than Q1. So proportionately, you're going to accrue more profit sharing, and that's kind of that impact. So when you're modeling that, I would just keep that factor in mind, I guess, that's really the one variable nature that we have in there. Our largest cost in G&A is people and we're getting leverage on our overhead structure right now. Our second largest cost would be office locations and obviously, we're getting more efficient on that side with the impairments that we took or a few offices in particular that we're moving out of. You can read into that maybe $800,000, $850,000 of savings a year under IFRS 16. Those savings are going to be reported in depreciation and interest expense. I don't know, if that gives you a bit of a guidance or help.
Ian Gillies: No. That’s very helpful. I appreciate that. Thanks very much. [indiscernible]
Operator: The next question comes from Frederic Bastien from Raymond James. Please go ahead.
Frederic Bastien: Good morning. Guys, you secured a number of contracts in the energy and mining sectors, which is quite encouraging given the generally better margin profile that is embedded in that work. Do you see this momentum continuing into the back half of this year and into next? And if so, what gives you that level of confidence? Thanks.
Terrance McKibbon: We certainly do, Fred, and as I commented earlier, we have strong -- strengthening pipeline and work on hand evolving in the West. We've had tremendous growth in the East and so yeah, there is a number of things that are out there that we're in early stages, in some cases, further along into further discussions on, but there seems to be coming off the large industrial work program that we had up in Northwestern BC, the reputation that we've developed from that project and the scale of the work we did there and the performance of that project given that it's a megaproject being delivered in Canada, basically on budget and ahead of schedule is, when you're part of something like that, you get tremendous uptake across the country because it doesn't take long for other industrial players to find out what was the team there and how did that happen. So we're getting a tremendous lift off that across the country, which is tremendous, and our teams have worked very hard and been very dedicated. So yes, I'd say that we have a very bright pipeline of things across energy, mining, nuclear and horizontal infrastructure.
Frederic Bastien: That’s great to hear. Thanks. That’s all I have.
Operator: [Operator Instructions] The next question comes from Max Sytchev from National Bank Financial. Please go ahead.
Maxim Sytchev: Hi. Good morning, gentlemen.
Terrance McKibbon: Hi.
Maxim Sytchev: Just a couple of quick ones for me. I think in the MD&A, Teri you were talking about some cross-cycle successes. I'm just curious if you can maybe talk about some of them.
Terrance McKibbon: Sure. The big one, Max, is as I indicated, we're steering our buildings business, verticals or institutional commercial business into late industrial and part of that comes from the resume that we have in our industrial business, which is goes back in many years of delivering large industrial facilities. So when you can cross-sell and partner and obviously take advantage of that resume and you can move your institutional commercial focus into the lighter industrial side and cross-selling in a partnership, it just dovetails into higher margins. Ultimately, the rising tide rises all both sort of thing. So we're doing a lot of that and that all centered around the one Bird framework, and the teams have responded really well to that, and that's a direct correlation to our improving margins in the business to date. So you're starting to see that now in the second quarter, but then if you look at a project like a large data center, we just delivered a large data center for Microsoft and starting with site development, the site development was done by Dagmar, the mechanical electrical was done by our Canam Group. Our buildings team in Ontario did a lot of self-perform work on that, including self-performed concrete and are pole had the overall management of it and as you know, data is nobody's got enough data storage. There's a lot of data opportunities in the country. So it's just an example where in that project initially came from the acquisition of Dagmar. So they had the relationship doing site development on these things in the underground utilities. Now with Trinity, we could have done all the communications as well. That platform is really paying off, and that's what we refer to as cross-selling, but we're also cross-selling divisions in different regions where we might have a certain business focus in a region. We're cross-selling the clients to bring in our industrial team or vice versa and in some case, the infrastructure guys. That's what we refer to as cross-selling. It's just being able to leverage, but the collaboration that's going on is really impressive.
Maxim Sytchev: Yeah. Indeed, yeah. Thanks. That’s helpful. And maybe just following up on the industrial dynamic, I'm just curious on strike some of the very large industrial jobs, if we should be thinking about the ramp up utilization and the ability to make the core additional work on these recent projects similar to what we've seen on LNG Canada or the good old days of oil sands. Just curious if that's the same. Copy and paste supplies here as well. Thanks.
Terrance McKibbon: Yeah. I think so, Max. We're seeing it when we get on site with an assignment, it's very rare that we don't take on multiple sign-ons unless we don't like the look of a commercial interface, and that doesn't happen very often, but in that regard, we're seeing continuous growth on the biggest segments we've got and new ones percolating when we did our large project up in Northwestern BC. That was the only one in Canada. So we were able to really build a very large, the only one in Canada in industrial. There's many other large infrastructure protos, but we were able to build a very large team of the best of the best and now that group is all over the country on new assignments and getting early days because we work collaboratively oftentimes, where we're working in the dark for a while without a firm commitment, but we know that that pipeline is very strong because we're working on early contractor involvement, which doesn't move the needle very high on the revenue side and it's not really announceable, but we're on a lot of those right now. So yes, that pipeline is very strong.
Maxim Sytchev: Okay. Excellent. That’s it for me. Thank you so much.
Operator: This concludes the question-and-answer session. I will hand the call back over to Mr. McKibbon for closing remarks.
Terrance McKibbon: Okay. Thank you, everyone, for joining our earnings call this morning, and thank you to the entire Bird team for their safe delivery and dedication to excellence. Have a good day.
Operator: This concludes today's conference call and webcast. You may disconnect your lines. Thank you for participating, and have a pleasant day.